Operator: Ladies and gentlemen, welcome to Caliber's Second Quarter 2024 Earnings Call. As a reminder, today's call is being recorded for replay purposes. At this time, all participants are now a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference call over to Lisa Fortuna, Investor Relations for Caliber. Please go ahead.
Lisa Fortuna : Good afternoon, everyone. Welcome to Caliber second quarter 2024 financial results conference call. With me today are Chris Loeffler, Chief Executive Officer and Co-Founder; and Jade Leung, Chief Financial Officer of Caliber. Please note that we have a quarterly earnings presentation, which will serve as a supplement to today's prepared remarks. You can access the presentation on the Investor Relations section of our website at www.caliberco.com. After management's commentary, we will open the call for questions. As a reminder, the information discussed today may include forward-looking statements that involve risks and uncertainties. Words like believe, expect and anticipate refer to our best estimates as of this call, and there can be no assurances that these will actually take place. So our actual figures could differ significantly from these statements. Further information on the company's risk factors is contained in the company's quarterly and annual reports and filed with the Securities and Exchange Commission. It is now my pleasure to turn the call over to Chris. Please go ahead.
Chris Loeffler: Thank you, Lisa, and thank you to everyone joining us on the call today. I'd like to begin our discussion by first thanking our employees, vendors and partners for their dedication to Caliber. In May, Caliber initiated some cost reduction measures that are a key component of our plan to return our business to operating profitably. These measures have required many members of our team, vendors and partners to take on additional responsibilities sometimes with less resources. The entire team has risen to the challenge and I'm grateful for their tremendous efforts. Their dedication has helped us to just adjust our cost basis to a level that combined with our planned revenue growth. We expect we'll return caliber to positive EBITDA in Q4 of 2024 and positive net operating income in 2025. As we continue to sharpen our focus on increasing revenue, Caliber has set three priorities for revenue growth. The first priority is to acquire more income generating real estate investments. The real estate market has seen a significant drop in value from its most recent valuation peak and we believe now is the time to acquire attractively priced assets. Prior to this change in real estate values, we did not see the same opportunities we are seeing in income generating assets. Now to begin, we intend to close on our first 1 billion of assets in our planned rollup of the Caliber Hospitality Trust or CHT. So far we have seven hotels in CHT with a total estimated AUM of $234 million. We expect to close the next eight hotels by the end of 2024, bringing the AUM of CHT to $410 million. We are pleased to announce that we have signed a definitive term sheet with an institutional investor that we expect will bring $35 million to $65 million of preferred equity to CHT, which will provide the funds necessary to acquire these eight assets. The agreement is subject is customary closing conditions and diligence requirements, and we look forward to updating you on our progress. The roll up of CHT will mark a significant change in the composition of caliber's AUM for the sizable portion of the portfolio being income producing hotels. To further bolster our income generating AUM, Caliber has taken action on a program to provide an elevated experience for 1,031 exchange investors seeking quality income generating assets. We believe Caliber provides a solution for a persistent challenge for investors seeking a quality partner to complete their exchange, and we look forward to sharing more as this program develops. Our second priority to accelerate revenue growth is to provide more single asset investment offerings. We believe we'll be able to attract more investment capital in this format and we have a series of projects ready to present to investors seeking to build their wealth with real estate. Additionally, our discretionary multi-asset funds can act as a lead investor in the single asset offerings, providing the multi-asset funds with a first look at each caliber project invest in. After seeding our new funds with more assets, we expect the multi-asset funds will be better positioned to attract capital from our wholesale channel. Our third priority is what we call build what we own, while this priority may sound obvious for a real estate investment company, it is not always the case. Caliber along with what we would estimate to be most companies investing in land and development was impacted by a very disruptive cycle of events between COVID, inflation, ongoing challenges in the banking system and the rapid rise in interest rates. With this drastic change in market conditions, we took a hard look at our projects to reevaluate whether any changes to our plans were warranted. A step we believe is prudent for all real estate investors. In completing our review, we found the path that we expect will lead to the most potential value creation for our clients and for Caliber to be that of a continued course to complete our developments according to our revised plans and build what we currently own. An important consideration in our analysis is that many of these development projects sit with little to no secured debt, offering traditional financing as the best potential path to capitalize their completion. In many cases, all or the majority of the equity required for the projects has already been raised. Our developments are also located in strong markets with resilient demand giving us confidence in leasing. Financing is critical to achieve Caliber's revenue generating priorities and because of that I would like to make some observations about the current financing environment. As a real estate asset manager, financing comes to Caliber in several forms.The first form of financing is what we call fundraising, which is equity capital, preferred equity and convertible debt raised from Caliber's clients and partners for our funds and for our real estate projects. Today, the ongoing market conditions around fund raising remain challenging. We are focusing on things within our control to enhance our fund raising capabilities and expand into new target areas despite these conditions.Caliber's Target market for fundraising includes over $13 million [Technical Difficulty] Chief Operating Officer responsible for leading all operational aspects of Caliber, including people, operations, project management, information technology and security, regulatory compliance, legal customer service and fund-raising operations. He is taking a leadership role in many strategic projects within the company, including Caliber's focus on cost reduction. In addition, last month we announced that Steve Drew joined Caliber as a Senior Vice President of Marketing Strategy and Technology. You already heard me mention Steve's name as it relates to fund raising. Since joining, Steve has immediately identified actionable steps to optimize our go-to-market strategy and technology platform. With these appointments, we are confident that Caliber has assembled the right team and capabilities to take informational technologies like AI and utilize them to achieve our goal of consistent profitable growth. Turning to a few high-level comments about the quarter. In Q2 2024, we continue to see positive year-over-year improvement in asset management revenues a key focus of our team, this is an important source of stable recurring revenues. With our singular focus on achieving consistent profitable growth, we implemented necessary expense saving actions during the quarter and since executing these actions in mid-May, we are on track to see the initial $6.5 million of annualized savings starting in the second half of 2024, and we expect to generate positive adjusted EBITDA in Q4 2024 with a full realization of cost improvements anticipated in 2025.Moreover, we remain confident in Caliber's medium and long-term growth prospects and are acting to ensure we can achieve our previously announced three-year goals. Before I turn over the call to Jade, I want to provide an update on our corporate debt. As I discussed in the prior call, we are seeking to refinance our unsecured debt. Through the end of the second quarter, we've paid off approximately $4.2 million in debt and have extended approximately $27.4 million in debt at various future maturities. With the overarching objective of improving our balance sheet over time. We continue to make progress and we will keep you apprised of our progress as it occurs. I will now turn over the call to Jade, who will take you through our second quarter financials in greater detail.
Jade Leung : Thank you, Chris. Good afternoon, everyone. We appreciate you joining us today. As we have previously discussed, beginning in Q1, we are no longer required to consolidate Caliber Hospitality LP and the underlying six Caliber hotels. Additionally, as of Q2 2024, we are no longer required to consolidate the assets associated with our Elliot 10 partnership. Further advancing our goal to consolidate all assets managed by Caliber. In simple terms, when we consolidate an asset, we manage all of the corresponding fees and revenues we earn, get removed from our results. We then have to replace those fees with the revenues and expenses of that consolidated asset, of which the majority of those amounts do not benefit caliber or its shareholders. As a simple example, if we earn, say $10 of asset management fees and $6 of that fee is generated from one of our consolidated assets that itself generated say, $50 of hotel revenue, we would reflect $54 of total consolidated revenue, $50 of which is largely not a benefit of Caliber, the public company. We believe these changes simplify our financial statements by removing most of the asset performance that has historically been included in our consolidated results. As a result, our comparative financial information is less meaningful since the prior year's results continue to include the historical performance of these assets. It's for these reasons that we continue to include unconsolidated platform performance information in these updates to provide a more clear understanding about the performance and growth of the company. With that background, I'll now turn to our results for the second quarter of 2024. Second quarter total consolidated revenue was $8.2 million, a decrease of 60% versus the same period a year ago due to a decrease in consolidated fund revenues, which was primarily due to the deconsolidation of Caliber Hospitality, LP and Elliot 10 and the underlying assets. Partially offset by a corresponding 70.3% increase in consolidated asset management revenues. Consolidated expenses for the first quarter declined by 59.7% to $12.7 million. The decrease was also due to the deconsolidation previously mentioned. For the second quarter of 2024, net loss attributed to Caliber, which excludes net loss attributable to non-controlling interest was $4.7 million or $0.22 per diluted share. This compares to net loss attributed to Caliber of $5.7 million or $0.29 per diluted share in the same period a year ago. Caliber adjusted EBITDA loss for the second quarter was $2.4 million compared to adjusted EBITDA loss of $2.3 million during the same period a year ago, due to an increase in G&A expenses largely related to professional services offset by an increase in total revenue of about $800,000. Total unconsolidated or platform revenue increased 24.9% to $4.2 million, mainly due to higher asset management revenue. Breaking down our platform revenue a bit further, fund set up fees increased to $665,000 from $9,000 in the prior year due to the recognition of revenue earned related to two new fund offerings open during the quarter. Fund management fees increased by 12.5% to $2.7 million due to an increase in managed capital and fees earned from the Caliber Hospitality Trust, which added one third party hotel property in Q1. During the three months ended June 30, 2024, the company earned a fund management fee of 0.7% of the Caliber Hospitality Trusts enterprise value. Development and construction fees decreased by 50.1% due to higher activities in each of Mesa Commons, Jordan Loss and Ridge 2 in Colorado in the prior year, offset by an increase in construction activities related to J25 in the current year. Performance allocations during the quarter were nominal. Total unconsolidated or platform expenses in Q2 were $8.2 million, a decrease of 4.1% compared to Q2 last year, primarily due to a decrease in operating costs stemming from a decrease in stock compensation expense and a decrease in accrued bonus. This was partially offset by an increase in general and administrative expenses associated with increased legal and accounting fees. Interest expense in the second quarter was $1.3 million, essentially flat compared to the year ago. Total managed capital increased by $32.2 million or 7.4% from $438 million to $470 million from December 31, 2023 to June 30, 2024. I'll now turn it back to Chris for his final remarks before we take your questions. Chris?
Chris Loeffler : Thank you, Jade. Before turning to the Q&A session, I just want to reiterate our commitment to delivering consistent, profitable growth to our shareholders. Caliber has been working to both adjust our cost basis and grow our revenues, and we see significant opportunities in our business to continue to improve and capture a large market opportunity today. Thank you to all the call participants. I appreciate you joining today and engaging with Caliber and look forward to any questions.
Operator: [Operator Instructions] Your first question comes from the line of Brendan McCarthy from Sidoti.
Brendan McCarthy : Chris, I just wanted to start off with fund raising. I know you mentioned the environment remains challenging. I'm just wondering if you can discuss how fund raising trended in the second quarter across the three different distribution channels.
Chris Loeffler : Sure. Thank you. In our first quarter we raised a little less than $10 million. In our second quarter, we raised approximately $20 million, so we saw it about double, primarily driven by our fund raising in CHT and our retail group. We actually saw our first checks come in from wholesale. It was not a meaningful amount of money, but it was the first investment starting to come in from the wholesale channel. So that continues to be an area of focus as well, building into the selling agreements we've already signed and continuing to grow that base. So that's the progress we've made so far. And then the announcement we made today at the top of the earnings call would be incremental in new capital compared to the numbers I just quoted you. So the $35 million to $65 million of institutional capital for CHT is additional capital we expect to close.
Brendan McCarthy: Then on the flip side, I know it seems like redemption just redemptions have trended somewhat favorably over the past couple quarters. Can you talk about any trends you're seeing at the redemption level they seem, I guess they seem pretty low relative to just some of the industry pressure that's making headlines.
Chris Loeffler : So certainly, see the same kinds of or similar kinds of redemption activity and requests from our clientele. I think a lot of investors have positions that have been in real estate funds that are illiquid. Our funds are illiquid as well, but unlike some of the funds that have liquidity gates where we're forced to liquidate assets, typically at the wrong time. Caliber is not forced to sell an asset based on a redemption request. So, we have been prudent in terms of looking at the underlying assets and the investments we have in our funds and making sure that we're not just seeking to sell an asset at what I would call the last 12 months being a terrible time to sell. And that we're looking at the properties that we own to maximize the profit and the return for all investors, not just for an investor that's seeking a redemption. So we've certainly seen redemption requests increase over time as interest rates went up in our underlying funds. But we've been managing that effectively so far.
Brendan McCarthy: And looking at the -- just looking at the prepared remarks, you mentioned there's a goal to provide more single asset investment offerings, that's just an initiative that's more appealing to target investors or I guess, and then as a follow-up, how does that impact the 2026 financial targets?
Chris Loeffler : If you think about single asset offerings, they have two significant benefits. One is they're just easier for an investor to understand. And since our strongest fund raising has been in our direct to high net worth channel, which is we call the retail channel that's the right matchup between the type of offering that those investors typically like to invest in something they can get their hands around on a single project and our -- the strength of our fund raising. At the same time, what we have seen in the current environment with investors being uncertain about the future and with interest rates and with fears of a recession and everything else that I'm sure you and the rest of the market are experiencing. Investors want to know I'm going to invest in this specific project with this specific planned outcome.So I think that there's a lot of certainty in single asset offerings. And then the second thing we have found that ties into the business plan from last year rolling into this year. Last year, we spent a lot of time launching our larger multi-asset funds. We needed to do that so that we had a product that fit with the wholesale channel for fund raising. And as we've gone out there and started selling those funds, we found feedback from a lot of the broker dealers and investment advisors we've been working with that they liked the funds, they liked the structure but they want to see more assets in the funds so that they can show those funds to their clients with I would say like a, essentially a seated group of assets inside the funds. So the best way for us to do that, and the fastest way for us to do that is to spin up our single asset in investment offerings, go out and acquire projects that are attractive for both our retail investors and our wholesale investors, get them purchased and then provide an allocation to our multi-asset funds that they can take it a piece of each deal and start to build the track record of the funds, so to speak. So that's the strategy. It does not impact our goals. We just think that this is the best possible strategy for Caliber in the near-term, to both raise capital and achieve those goals.
Brendan McCarthy : One more question for me, just looking at the financial targets, the $3 billion targeted AUM by 2026, I guess, has that target or has your confidence in achieving that target changed at all throughout the first six months of the year?
Chris Loeffler: We have not changed the targets and we don't intend to, we feel pretty confident about what we put out there because we -- when we built those targets in the first place, we accounted for some of the environment we're in. So I think that our acknowledgement of the fact that it's a difficult environment and that interest rates are up and such was all part of the original plan. I think, if you were to tie out that $3 billion target as an example, presuming we execute on our minimum goal for CHT, then we will be bringing the portfolio AUM up to close to $2 billion with that transaction, which leaves the remaining $1 billion to be additional assets going into CHT or other investments we make over the next, essentially two and a half years. So I think we feel pretty comfortable with the targets.
Operator: There are no further questions at this time. I will now turn the call back to Chris for closing comments.
Chris Loeffler: Great, thank you. And thank you Brendan, appreciate the engagement. In closing, I'd like to reiterate to our employees, first and foremost, our gratitude for your ongoing dedication and commitment. I know how hard you guys have been working and I really appreciate it. I'd also like to thank our loyal investors and partners for your continued interest in Caliber and your investment and your faith and trust in our leadership and our management team. Thank you again for your time today. For everyone on the call, we look forward to speaking and meeting with many of you in the near future. And if you have any questions, we encourage you to reach out to our investor relations team at financial profiles, and especially if you can go to our website and sign up for the investor relations newsletter. So, thank you very much and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.